Operator: Ladies and gentlemen, welcome to Bouygues 9 Months 2017 Conference Call. I will now hand over to Karine Adam, Head of Bouygues Investor Relations. Madam, please go ahead.
Karine Adam-Gruson: Good morning, ladies and gentlemen. I would like to remind everyone that you can find on the company website at www.bouygues.com the earnings press release, the presentation we will be commenting on during this conference call, an excel file with historical key figures for the group and its business and the company’s financial statements. Statements made on this call are forward-looking statements. Such statements reflect objectives that are based on management’s current expectations or estimates and are subject to a number of factors and uncertainties that could cause actual figures to differ materially from those described in the forward-looking statements. I would like to turn the call over to Mr. Philippe Marien, Deputy CEO of Bouygues.
Philippe Marien: Thank you, Karine. Good morning to all of you and thank you for joining us. I would like to welcome everyone to our conference call to discuss Bouygues’ 9 months results. With me in the room is Christian Lecoq, CFO of Bouygues Telecom. Following my comments, we will be answering your questions. To begin on Slide 4, the 9 months’ results are in line with the trends we discussed during the first half announcement. First, the group’s results and profitability rose significantly year-on-year driven by improvement in Bouygues Telecom and TF1. Second, all businesses delivered good commercial performance. The construction businesses experienced solid commercial momentum abroad and in France, where we have seen a return to growth since the beginning of this year. The expertise and track record of the group in managing complex and sophisticated projects, including urban developments are key success factors. Bouygues Telecom posted very good commercial net adds in both mobile and fixed in the third quarter of 2017 validating its strategy. In this context, we confirm the full year outlook shared with you in February. The key figures shown on Slide 5 confirmed the continued sharp increase in the group’s results. Group sales of €23.8 billion were up 3% in the 9 months. In addition, group sales like-for-like and at constant exchange rates as well as sales in France and international markets were all up 3%. Current operating profit reached €976 million in the first 9 months of 2017 and was up 37% compared to the first 9 months of 2016. Over the same period, the group current operating margin improved by 100 basis points to 4.1%. Third quarter current operating profit included a capital gain of €28 million at Bouygues Immobilier on the sale of 50% of Nextdoor and on the re-measurement of the residual interest in the company. Restating the Nextdoor impact, the group current operating margin would have improved by 90 basis points to 4% in the first 9 months of 2017. Operating profit included non-current income of €82 million in the first 9 months of 2017 mainly related to the capital gain at Bouygues Telecom on the sale of sites to Cellnex versus non-current charges of €144 million in the same period of 2016. At €713 million, net profit attributable to the group more than doubled year-on-year, including Alstom’s net contribution of €105 million in the first 9 months of 2017 compared to €33 million in the same period of 2016. In accordance with the announcements made in September, the French state has not exercised its call options on Alstom shares. As provided for in the contract, 43.8 million shares were returned to Bouygues. We held 27.99% of Alstom’s capital at end of October 2017. Excluding exceptional items, net results in the first 9 months of 2017 increased by 60% compared to last year. You will find detailed information on the impact of exceptional items in the appendix of this presentation. This positive trend confirms our ability to meet our 2017 objective of improved profitability at the group level. Let us now turn to Slide 6 to see the net debt evolution from end December 2016 to end September 2017. On Slide 6, net debt was €3.7 billion at end September 2017. It increased by €1.8 billion versus end December 2016 reflecting the usual seasonality. Compared to end September 2016, net debt is down €183 million demonstrating the group’s strong financial position. Let us now see the changes in the net debt situation. During this time period, first, we received €24 million from disposals and acquisitions, including at TF1 the sale of the minority stake in AB Group and the acquisitions of Tuvalu Media, MinuteBuzz and Studio71 and at Colas, the acquisition of Graymont Materials. Second, we received €147 million of other items including the exercise of stock options and a capital increase reserved for employees for the remainder of the Bouygues Confiance 8 plan. Third, we paid €606 million in dividends. And finally, we have not yet paid the third installment of €117 million for the 700 megahertz frequency. Please note that will be paid at the end of this year. Remaining variation is explained by operations. Turning to the breakdown of operations on Slide 7, you can see that net cash flow increased by €186 million year-on-year. Net CapEx is down €40 million due to Bouygues Construction. For your information, the group net CapEx expenditures as shown in this slide, includes the sale of sites to Cellnex. And last, working capital requirement increased by roughly €330 million year-on-year consistent with the guidance we gave you at the beginning of this year. By end 2017, we still expect net debt of around €2.3 billion. I will now turn to the review of operations starting with the construction businesses. Let’s begin with the commercial performance on Slide 10. The commercial momentum in our construction businesses remained strong in the third quarter of 2017 in line with the first half trend. The construction businesses are well positioned in the markets, thanks to the strong expertise and differentiated assets. The businesses have demonstrated the ability to meet the growing infrastructure and building markets’ needs and are at the forefront of sustainable construction. As a result, the backlog at end September 2017 is up 9% year-on-year at constant exchange rates at the very high level of €30.3 million. Both France and international markets drove this performance. We will note that 56% of the backlog at Bouygues Construction and Colas are in international markets at end September 2017. Let us now turn to France as illustrated on Slide 11. The first 9 months of 2017 confirmed the upturn of a French construction sector and the three construction businesses achieved very good commercial results with the backlog up 13% year-on-year. Bouygues Immobilier delivered above market growth over the first 9 months of 2017 in a residential property market still benefiting from low interest rates, the Pinel buy-to-let law, and the zero interest loan program. Thus, residential reservations were up 21% organically compared to last year. The recent announcements of the government to extend the Pinel law and the free loan program for an additional 4 years, is good news as it provides the visibility. The scope has been refocused on dense areas where more than 80% of Bouygues Immobilier’s market share is generated. We therefore expect the residential property market to be stable in 2017 and for Bouygues Immobilier to gain market share. In building and civil works, we see the positive impact of the Grand Paris Express development. Since the beginning of this year, we have added about €1 billion of Grand Paris Express projects in our backlog. Thus, the order intake is up 9% year-on-year. As in 2016 while the dynamic in the Greater Paris area is improving, thanks to Grand Paris tenders, the market in the rest of France remains sluggish. Moving to Colas, road activity has picked up in France since the beginning of this year after several years of decline. Local authorities have slightly increased their spending in the maintenance of roads as well as their investment in new transport infrastructure projects such as tramways and buses with the highest level of service. Colas recently won several contracts like the extension of tramways in Bordeaux, in Lyon and in Cannes and road improvements for the high level of services in [indiscernible] in Northern France. Colas also gradually benefits from the Grand Paris Express development in various areas; deconstruction, road construction, overlaying of railway track. Lastly, the rail maintenance activity is improving. In the third quarter of 2017, Colas has booked significant orders from [indiscernible] for a total of almost €140 million. Thus, current backlog at end September 2017 increased by 14% year-on-year, while revenues in France were up 6% over the same period. Let’s now move to Slide 12 to focus on another area of the Grand Paris project. As you all know, Grand Paris Express is the metro network of the Greater Paris area. We have already won major contracts for the extension of existing lines or the building of new lines and stations. You will find further details on these projects in the annex of this presentation. Grand Paris Express is also boosting the renovation of neighborhood and the creation of housing units through the construction of metro stations offering new opportunities. This slide shows the 10 innovative urban development projects won by Bouygues Construction and Bouygues Immobilier following the competition launched by Metropole Grand Paris to develop sites around the stations. It is worth mentioning that Bouygues is the company that has won the highest number of projects in this competition with 10 projects won out of 51 demonstrating the relevance and the reliability of its urban development offers. This Metropole Grand Paris projects have not been booked in the backlog at end September 2017. They are expected to begin in 2019 and should represent slightly less than €2 billion in revenues at the group level extending from 2019 to 2022. Let’s now turn to the commercial performance of the construction activity in international markets. In international markets, activity at Bouygues Construction and Colas kept a good dynamic. International backlog was up 6% year-on-year at constant exchange rates and reached €15.5 billion at end September 2017. Orders for the quarter notably include two major contracts in the Asia-Pacific region, the building of the second tallest tower in Singapore for €290 million and the upgrade and extension of the Metro Line 1 in Manila in the Philippines for €273 million. Let us now move to Slide 14 to look at the overall picture of the main international orders won in the first 9 months of 2017. This slide highlights the regions outside of France where the group is particularly active as we are targeting dynamic countries with a low risk profile. You can see that the three most robust regions for our international construction activities are: first, Asia-Pacific. In addition to the projects described on Slide 13, we won the building of 5 large-scale solar farms in Australia at the beginning of this year amounting to €261 million. Second, Northern and Central Europe mainly Switzerland and the UK with eco-neighborhood such as Crissier. In addition, a new segment of Hinkley Point was added for €178 million bringing the total orders for this project to €1.9 billion. Third, North America and notably Canada with the construction and maintenance of the Southwest Calgary Ring Road and the contract for €105 million to develop the electrical and security system for the first smart technology hospital in Canada. I now would like to talk about the project we have won in Dijon, a French city located in Burgundy southeast of Paris that positions the group as an urban operator capable of making this city management smarter. Bouygues, as leader of a consortium, won the contract to build and manage a connected control center for the public facilities of the Grand Dijon metropolitan area for a 12-year period. This €105 million contract, which includes 24 municipalities and 250,000 residents, is the first smart city in France. The goal of this project is to modernize and improve the municipality’s efficiency to develop the region’s digital economy and to increase citizen participation. It is a performance contract based on objective to teria such as the delivery of 65% of energy savings in public lighting. The savings generated by project will finance the creation of new services for the city. The smart city is also an opportunity to increase the involvement of residents in the life of their city by providing new public services and by opening urban governance through open data solutions. Citizens will be able to communicate in real time with the public services, for example, to report when an accident has occurred or to contribute suggestions to improve the city. Let’s take a closer look to the project. On Slide 17, you have a representation of the offer. Today, the city of Dijon has 6 control centers run independently by 6 managers; 1 for security, 1 for the police, 1 for the traffic, etcetera. Those managers supervise the maintenance contracts for various public facilities. For the first time in France, Bouygues and its partners will set up a centralized and connected system for the management of public facilities. There will be a single control center at the level of Grand Dijon with one operational manager working from the police department. Operational from end 2018, the single control center will make technical equipment like traffic lights, street lighting, video camera, street and road maintenance more efficient and optimized while they are managed together. This will facilitate public space management and security. The control center will receive and push information to public facilities, companies, residents and public services with open data at its core. You can see on Slide 18 a photo of the single control center, which operates an urban hypervisor. Let’s now move to the 9 months result of the construction businesses. Turning to Slide 19, sales went up 3% reflecting an improvement in French environment and the good commercial performance of our construction activities in France and abroad. The construction businesses current operating profit increased by €27 million year-on-year and current operating margin in the 9 months of 2017 was 3.2%. These figures reflect first, the sharp rise in current operating profit at Bouygues Construction and Bouygues Immobilier in the first 9 months of 2017 compared to the first 9 months of 2016. Second, a decrease in current operating profit at Colas over the same period, the roads business margin in mainland France showed strong improvement since the beginning of this year after several years of decline. However, it was not enough to offset the following negative impacts. First, the lower activity in North America notably due to adverse weather conditions at the beginning of the summer and second, the difficulties in the rail activity for which recovery measures are being implemented. Those measures include changes in the top management team at Colas Rail, the implementation of a new organization and the disposal of some assets such as the freight car fleet in France. Operating profit in the construction business is improved by €78 million in the first 9 months of 2017 compared to last year. This improvement is due to lower non-current charges in the first 9 months of 2017, only €5 million compared to €56 million in the first 9 months of 2016. Considering the third quarter of 2017 trends, we expect Colas current operating margin to improve significantly in the fourth quarter of 2017. Strong improvement in the road business current operating profit in mainland France and Europe should continue. We expect to see the positive effects from the recovery of activity in some part of Europe. However, North America is only expected to partially narrow the gap that exists between end September 2017 and 2016. The effects of the recovery measures in the rail activity will not be visible until 2018. The group is therefore confident of achieving its 2017 target of improving the current operating profit and margin of its construction businesses. Let’s now have a look at the key figures of TF1 on Slide 20. I will review TF1 quickly as they published their result end of October. 9 months results of TF1 were in line with the first half 2017 trends. Advertising revenue was up 2% benefiting mainly from stronger revenue from the DTT channels and a very good performance in sponsorship. Current operating margin reached 7.9% in the first 9 months of 2017, up 4.6 points year-on-year. This improvement reflected first, the positive results of the cost-cutting and programming optimization strategy implemented since the fall of 2016 and second, the differences in the scheduling of some programs this year versus last year. 9 months operating profit is positive at €98 million after a loss in the same period of last year. Now, let me turn over to Christian Lecoq.
Christian Lecoq: Thank you, Philippe. Starting with Slide 23, we maintained a steady growth in mobile in the third quarter of 2017. We won 295,000 new mobile customers in the third quarter of 2017, of which 110,000 were new plan customers excluding machine-to-machine. Since the beginning of this year, 940,000 mobile customers have joined Bouygues Telecom. 4G offers continue to progress among our customer base. At end September 2017, we benefited from 7.7 million active 4G subscribers representing 71% of our total customer base excluding machine-to-machine compared to 62% 1 year ago. The average data usage continues to increase despite the lower usage of new 4G customers compared to early adopters. In September, 4G customers used an average of 6.8 gigabyte of data versus 3.7 gigabyte at end-September last year. The average consumption of our mobile customer is 5.8 gigabytes compared to 2.3 gigabytes at end-September last year. These figures confirm that the quality of Bouygues Telecom 4G network is a differentiating factor, which is paying off. Moving to Slide 24, Bouygues Telecom also achieved strong commercial performance in fixed with 110,000 broadband net adds in the third quarter of 2017. With 916,000 new customers since end December of 2014, we are well on track to reach our target of adding 1 million fixed customers by end 2017 versus end 2014. FTTH adds are accelerating. Thanks to the new commercial organization put in place before the summer. The third quarter of 2017 delivered the strongest quarterly performance since the launch of our FTTH offers with 38,000 new customers. As a result, FTTH contributed to 36% of our fixed net adds in the 9 months 2017 versus 24% over the same period last year. At end September 2017, Bouygues Telecom had 594,000 very high speed customers, of which 209,000 were FTTH. Slide 25 highlights how Bouygues Telecom continues to rollout its FTTH network. At end September 2017, 18 million premises were committed representing an increase of 2 million versus the second quarter of 2017 and of 10 million versus end September last year. The breakdown is as follows: 4.5 million premises are in very dense areas, of which 3.5 million are for co-investment with other operators and 1 million on our own. 9 million are in medium-dense areas, so co-investment with Orange by tranches of 5% and 4.5 million premises are in public initiative network areas, so four rental agreements; one with Axione, one with Altitude, one with Collage, and one with TDS that we have just signed. 3.1 million premises are marketed to-date and marketed means that only the fiber to the home needs to be done. The number of premises marketed between end-September 2017 and end-September 2016 has increased by more than 1 million and by 0.5 million versus end-June 2017. The most significant portion of the increase in premises marketed occurred in medium dense area where we have the greatest market share growth potential. Indeed we would be able to market various high speed quality offers with both FTTH and 4G thanks to our 4G coverage improvement in all areas. Please note that Bouygues Telecom’s 4G coverage was 94% at end-October 2017 and the target is to cover 99% of the population in 2018. The FTTH network roll-out and the number of premises marketed will accelerate in 2018 in order to meet our goal to market 12 million premises by end-2019 and 20 million premises by 2022. Slide 26 highlights the increase in sales in the 9 months 2017 compared to the 9 months last year and notably in sales from network excluding incoming traffic. Sales from network excluding incoming traffic were up 6.4% year-on-year thanks to continued growth in the customer base and the first positive impact of the price hike implemented at the end of the second quarter of 2017 on the premium mobile and all fixed offers. Mobile plan ARPU stabilized at €23.3 per month in the third quarter of 2017 compared to the second quarter as competition remained high in the low end market. Over the same period, fixed ARPU increased by €0.7 to €27. Sales from network in the quarter also benefited from a small positive impact of the new roaming regulation on mobile revenue. Increase in the topline leads to improvements in EBITDA. Looking at Slide 27, EBITDA for the 9 months 2017 reached €882 million, a 27% increase over the 9 months 2016. EBITDA margin was up 4.6 percent points to 27.7%. The continuous improvement in EBITDA margin allows us to raise our EBITDA margin target for 2017 to between 26% and 27% versus slightly above 25% previously. Please note that operating profit in the first 9 months of 2017 include €105 million of net current income. This income includes €144 million related to the capital gain on the sale of sites to Cellnex partially offset by €48 million of non-current charges related to mobile network sharing. We confirm that we expect about €220 million of non-current income related to Cellnex in 2017. Gross CapEx of €860 million in the 9 months is in line with expectations for 2017.
Philippe Marien: Thank you, Christian. I would like to briefly comment on the financial statements. We have already looked at sales and current operating profit shown on Slide 5. Let us now have a look at other income and expenses contributing to operating profit on Slide 29, which shows a significant improvement of €226 million year-on-year. As a reminder, in the first 9 months of 2016 we recorded non-current charges of €144 million. First, TF1 accounted for the largest portion of those charges due to transformation costs to LCI and to the impact of both Newen Studios and the decree on French drama. And second, charges were posted at Colas due to the discontinuation of activity at the SRD subsidiary in Dunkirk. Conversely, in the first 9 months of 2017, we recorded non-current income of €82 million mainly related to the capital gain on the sale of sites at Bouygues Telecom as well as non-current charges related to network sharing and to amortization charged against goodwill at TF1 identified as part of the acquisition of Newen Studios. Cost of debt increased decreased slightly. Turning to Slide 30, you can see that income tax expenses increased in line with the improvement in profitability for the 9 months 2017 leading to an effective tax rate of 9% to 29%. Moving to the associates and joint ventures line, the change is explained by Alstom’s net contribution of €105 million in the first 9 months of 2017 versus €36 million in the same period of last year. Finally, we will turn our attention to the outlook for the full year. As you can read on slide 32 and as stated at the beginning of this call, we confirm the outlook shared with you in February. For 2017, our good results to-date gives us confidence in our ability to meet the group’s objectives to improve profitability versus 2016. In the construction businesses, we expect improving current operating profit and margin versus 2016 excluding the Nextdoor impact. Bouygues Telecom raises its EBITDA margin target for 2017 from slightly above 25% to between 26% and 27%. TF1 has already released its earnings and outlook and said that it should achieve €25 million to €30 million of recurring savings starting in 2017. For 2018 and beyond, TF1 confirmed its target to first maintaining the average annual cost of programs for the 5 free view channels at €980 million over the 2017-2019 period and second, improving profitability targeting double-digit current operating margin in 2019. Bouygues Telecom confirms its target of €300 million of free cash flow in 3 years’ time. This concludes my presentation. Operator, please open the floor for questions.
Operator: [Operator Instructions] The first question is from San Dhillon from Exane. Sir please go ahead.
San Dhillon: Hi guys. Just two questions if I may. I believe your €1.99 DSL promotion offers is due to end at the end of this month. Given the relative success of the promotion, do you think that you will extend it into December and beyond? And secondly, on fiber and the increasing take-up of the product, do you think fiber will remain a non-promotion product going into 2018 or do you believe that there can be some promotions on fiber to incentivize the take-up? Thank you.
Christian Lecoq: So, about your first question regarding our DSL promotion making back-to-school period, I cannot comment what we will do for Christmas period. But you know that usually there are many promotions for the Christmas sales. And about FTTH, year-to-date seems that all the operators are doing less promotions with FTTH and or less in DSL, but it should continue in the future.
San Dhillon: Okay. Cheers, guys.
Operator: The next question is from Jerry Dellis from Jefferies. Sir please go ahead.
Jerry Dellis: Yes, good morning. Thank you for taking my questions. I had two questions please. Firstly, in terms of your mobile network capacity, given the very strong growth in data usage that you talked about, how are you dimensioning the network to continue to cope with that pace of growth? Perhaps you could give us some understanding of what lies ahead in terms of investment programs so as to ensure that adequate headroom is maintained and I am not sure if there are any utilization metrics that you could share with us to just give us an idea as to what sort of capacity utilization we are dealing with at the moment, please. And then the second question is to do with the recent price increases. You said in the press release that we were seeing the first benefits of the price increases that were implemented on the Sensation plans and in fixed broadband at the end of May. Is that to do with the way in which you push those price increases rather gradually into the back book and is there more benefit to come from those May price increases? Thank you.
Christian Lecoq: Okay. So about your first question about the capacity of the network, we are using more and more our spectrum portfolio to use it just for 4G. So, you may know that we use for 4G network the 800 frequencies the 1,800, 2.6 gigahertz and now we have the consolidations from the asset to use the 2.1 gigahertz to help us to cope with the traffic utilization increase. And you may note also that we are adding more sites in the regions where we are because I think I have already said in Japan that we will add 60% more sites in the region during the next this year and the next 4 years. This is about the network. About price increases, most part of the migration of the clients to the new offers have been doing this week and we see what would be the results in Q4, but keep in mind that in Q4 you also have the Christmas period sales with some very high level of promotions usually.
Jerry Dellis: Thank you. Could I just follow up? One of the features I think in Q3 was that you would have started to see some benefit from the press pack that I think you launched in June. What was the VAT benefit in Q3 from that?
Christian Lecoq: We didn’t take any VAT effect. We are applying the French tax rules and there’s no VAT effect for us in Q3 and there will not be in Q4.
Jerry Dellis: Thank you.
Operator: The next question is from Dimitri Kallianiotis from Redburn. Sir please go ahead.
Dimitri Kallianiotis: Thank you. Just got two questions. The first one is just on in terms of taxes the government is changing the previous tax on the dividend. I just wanted to know if you can give us an indication of how much refund you could get from the government for the past taxes on the dividend and if you have got any idea in terms of the net positive that could be for you or if it’s going to be flat because of higher other taxes? And my second question is regarding the free cash flow generation in the French telcos so in Bouygues Telecom. Obviously you raised your guidance in terms of EBITDA, I just want to ask you again for this year should we expect the free cash flow to be positive in Bouygues Telecom including everything; including the spectrum cost, the sale of mobile towers to Cellnex? Thank you.
Christian Lecoq: So about the free cash flow, we expect the free cash flow to be at the higher level than in 2016. I think we already said about that. Don’t forget that it will be at our previous guidance. I don’t know now what will be the impact or the tax effect of the government for Bouygues Telecom because as you may know, Bouygues Telecom didn’t deliver any dividend in the past and so for Bouygues Telecom, the tax effect will be negative for us.
Dimitri Kallianiotis: Sorry the dividend was more for the group because I know that Telecom is a part of the group.
Philippe Marien: The remark of Christian was about the cash flow and the Bouygues Telecom net cash flow. So after tax effect, definitely the extra tax for the end of 2017 will have a negative impact on Bouygues Telecom because of the increase of the results and because of the various capital gain regarding the disposal of sites. So, we will have compared to 3 months ago, we will have a negative effect negative tax effect on the cash flow of Bouygues Telecom. That’s the point of Christian because an increase of the income tax rate. At the group level, the 3% tax reimbursement will be around €100 million and the net effect after the extra tax will be not very material at the group level. So, the net effect will not be a very material one despite the €100 million reimbursement.
Dimitri Kallianiotis: Thanks.
Operator: The next question is from Josep Pujal from Kepler Cheuvreux. Sir please go ahead.
Josep Pujal: Yes, good morning. Two questions for me. The first one is on the working capital deterioration versus last year. Could you give us a little bit more information on that? It was related to which divisions and what where the reasons? How do you expect that to evolve in the coming months? And my second question is on Colas, you mentioned problems in rail and measures that have been taken, but could you give a little bit more detail on what exactly is going on there? What are the origins of those problems is lack of demand, is strong competition, I don’t know? Could you give more flesh on that, please? Thank you.
Philippe Marien: Yes. So, regarding rail our rail activity, in fact we had two different series of officials. The first one was a bad freight market mainly in France and we have said that in June in August for the account end of June and the freight market in France is not good and don’t change really didn’t change really in the last quarter. That’s one element of the full result of our rail activity or less result than 1 year ago. The second is the second element was more lack of control of Colas Rail by the previous management of Colas Rail. It is the reason why one of the measures has been to change the top management of Colas Rail so we have changed the CEO and the CFO of Colas Rail. They have implemented recently some reorganization of the company. The idea is more control on projects mainly. And the last element is regarding freight the freight markets and the freight activity in France. So we have decided to decrease this freight activity, which is not profitable, saved somewhat with SNCS and you will see. So, we will reduce this activity and so we will dispose some equipments regarding freight activity. That’s the main direction. So nothing dramatic obviously, but the result has been lower result than 1 year ago for the Colas Rail activity. Nevertheless, the outlook is a good one because we have a good portfolio outside France first and second, thanks to some plan coming from SNCS, we have won a series of contracts of maintenance contract on the railway French railway network and so we will improve the activity on the maintenance railway activity in France in the coming months and next year. So, the outlook is good for this activity. The fact is that the result is lower for this year compared to 1 year ago.
Josep Pujal: Okay. Working capital, please?
Philippe Marien: Working capital. So, we are totally in line with the guidelines we have given to you at the beginning of the year. So, there is no surprise and there is no other variation than those anticipated. The main variation is in the construction businesses because we reach a very, very good level of working capital end of 2016 so this situation will change a little bit during 2017 and we have incurred some negative variation because mainly of development in some big activities and big urban programs and urban developments. So nothing negative, totally in line with our expectation and with the anticipated moves. It is the reason why we confirm totally the level of net debt at the end of the year around €2.3 billion.
Josep Pujal: Perfect. Thank you.
Operator: The next question is from Stephane Beyazian from Raymond James. Sir, please go ahead.
Stephane Beyazian: Yes thank you. Two questions if I may. The first one is on road in North America and you made it clear about the bad weather situation with revenues down 2%. So I think my question is, is it fair to assume that we could have very strong growth in 2018 from North America possibly let’s say in the range of mid-single-digit growth as we sort of catch up from some of the orders that couldn’t be delivered so far in 2017? My second question is just coming back on the interesting place of Dijon. Can you just help me to understand how many I mean to what extent it’s a rare contract or actually you are seeing an acceleration in the momentum of such contracts and tried to quantify how many contracts you think we could see in let’s say the coming 12 months for that sort of Smart City planning? And the third question, sorry, just a clarification and just to understand clearly the follow-up on the previous question regarding networks and frequencies. Do you think there is a risk that Bouygues or perhaps some competitors could see some traffic congestion and therefore some quality of service issues going forward before we have some new frequencies that are awarded in France? Thank you.
Philippe Marien: Christian, the last question.
Christian Lecoq: So about traffic congestion, as I said we for us, we are adjusting a lot by adding more spectrum to our site for 4G and by adding also more sites. I don’t know about other competitors in France.
Philippe Marien: Regarding the other questions, first, the Dijon Smart City contract, we highlight this contract because it’s the signal of several things. The first one is the evolution trend. Clearly we will go more and more to this type of contracts all over the world. You have seen that in various places. You see some example like Dijon. So, definitely we see for the future a real trend around this type of organization or this type of demand coming from local authorities. Clearly for us, it’s very important to win the first French contract. Firstly, because we are the winner which is always good news, but also because it’s very important to show that definitely we are very well positioned to win this type of contract because of the future trend. It is important to show that Bouygues because of and thanks to long history and long series of innovation in the last years is able to compete against NG or other type of actors and it’s very important to show that builder and Bouygues Construction is able to maintain its position as the leader in this type of contract. Obviously this type of contact will not be rare and it will not be the vast majority of our portfolio. It will be a trend for sure. We are pretty sure that we will see other type or this type of contract in the future. And again what is very important is to show that our R&D and innovation scheme inside the group is able to meet with this evolution because clearly in this type of evolution, the real risk for us could be to be out of the market against newcomers; NG, but also Eco System, but also Modal, but also the [indiscernible], but also a lot of companies; able to be in front of the client. So, what is important for us in this contract is to show to the market and to demonstrate that our R&D and innovation processes in the Bouygues Group is able to reach this type of winning contracts. So, it’s a trend definitely. It will not be the vast majority of our portfolio in the coming months. And your last question is the trend of North America. For sure, the outlook in North America is good. You have seen that we have won some contracts in Canada. We have a good backlog in U.S. So, probably we will have a good trend in 2018 and after. After that, you know that and especially in North America because of the climate. The transformation of the backlog into net sales is very dependent from the weather and this year is not good at this respect. We expect to be in a better situation in 2018. But for sure, the trend is good and the backlog evolution is good.
Stephane Beyazian: Alright thank you very much.
Operator: The next question is from Jakob Bluestone from Credit Suisse. Sir, please go ahead.
Jakob Bluestone: Hi good morning. I have got two questions please. Firstly, on the telco side, you obviously had good net adds both in fixed and mobile when we have seen some weak net adds at particularly one of your competitors. Could you maybe just comment a bit on your net adds, how much is driven by gross adds improving and how much is driven by your churn trends getting better? And then secondly, if you can maybe just one clarification just on Dijon that you were just talking about. I think you mentioned it’s a 12-year contract. I might have missed it, but I don’t think you gave a revenue number for how big a contract it is. It’s obviously longer than what you normally generate. Is it a meaningful amount or is it more about sort of an entryway into more contracts like this down the road?
Philippe Marien: It’s a €105 million contract as a whole and over the 12-years period. First period will be CapEx so construction of some facilities to have the central control room and so on and after a second period, longer period on with the maintenance. And the total contract is €105 million.
Christian Lecoq: So, about the net add. That’s right that the churn rates slightly increased following the price increase, but in line with our expectations. And so as our net adds are at a good level, we are also able to attract more new customers thanks to a good level in gross adds. Mainly one other thing is that we our goal is to manage the balance between volume and value and to be able to increase our total revenue and our goal is not only to have a good result in net adds.
Jakob Bluestone: Can I just ask a follow-up on the mobile side, you mentioned an improving ARPU trend. Can you sort of comment a little bit to what extent is that driven by price increases versus your mix improving? Thank you.
Christian Lecoq: The ARPU level I think is at a stable level compared to Q2. It’s always statutory, in fact promotions in the low end part of the market and our ability to attract high value customers for the premium segments and we were also able to increase the price for the – this part of our install base.
Jakob Bluestone: Thank you.
Operator: The next question is from Nicolas Didio from Berenberg. Sir, please go ahead.
Nicolas Didio: Hi, good morning. I have 10 questions, I will try to limit to 3.
Philippe Marien: Thank you.
Nicolas Didio: Questions on the dynamic in France at Bouygues Construction, you were saying that outside contracts driven by the Grand Paris, it was sluggish. I wanted to know I mean why do we have that situation considering that the PMI are well oriented, GDP growth is accelerating, I mean the overall confidence in France is improving, so, why there is that kind of discrepancy? Second, on Bouygues Telecom and Axione on the low dense areas and public initiative networks, what is your kind of feedback from the discussions you may have with local politics since SFR big announcements on fiber with no details since? Have you seen any shift of mood regarding these new networks moving more toward Axione and more to other ends or – what is your feedback there? And the last question on the free cash flow guidance for Bouygues Telecom of €300 million for 2019. Can you just give us what is your thinking on the contribution of asset disposals underlying this €300 million free cash flow guidance? Thank you.
Philippe Marien: Okay. So last question, it will be €300 million despite no disposal or – so it’s just €300 million I can say pure free cash flow on a regular basis. So, there is no – there will not have a big impact of disposals in the €300 million free cash flow. The idea is not to have €300 million free cash flow 1 year and zero the year after, because no disposal that’s the idea. Regarding the evolution of local authorities attitude for public initiative, in fact the SFR announcement has absolutely no impact for the time being. We will see when they will start something, but for the time being, absolutely no change and especially no change in the agenda of the launching of the tenders. We continue to wait for a big series of tenders in the coming months and there is no change because of the SFR announcement. Your last question – first question and my last answer was on the outside Paris situation. In fact if you look at the various drivers for construction in France, in civil works the driver is obviously the infrastructure tender and definitely today except around the Grand Paris Express program, there is no big infrastructure tender outside this area. So, there is no big driver despite GDP and so on. There is no program for big infrastructure outside the Grand Paris area for the time being, so no real good dynamic for civil works except which is fantastic news for us, except around the Grand Paris program. If you look at the industrial facilities despite the fact that the GDP is well-oriented, there is no big demand coming from corporates to increase their facilities in France for the time being. So, no good driver on this matter And the third element is residential and for residential, definitely we have very booming situation, because of the good residential property development market situation, but this market for Bouygues Construction is not a very big market because we are not the specialists to build a very small residential program. So, it’s good news, because it’s good for the industry overall and so the competition on other type of project will be less intensive. But for us, the fact that residential is good is not a big driver to have an improved – an improved situation. So clearly for us, we need a big infrastructural project, which is the case around Paris, but not in the rest of France except Bordeaux for instance under the [indiscernible] which is big contracts for us. Private facilities for the time being, there is no real restart in France except again around Paris, because of the dynamic of the Grand Paris program. And for residential, for us is not the big driver, because small residential program is not the core of our building business. And regarding road, which is the last element for the construction picture, definitely we have a very good situation in all regions. It is the reason why – is the reason why Colas has a good backlog and a good increase in term of net sales in France and it’s equally shared between the Paris area and the rest of France.
Nicolas Didio: Can I use up your time one more minute asking about the list of concessions you have. You have plenty of concessions still in the books and we have very limited visibility on the book value. Is there anything for sale right now? Thank you and that’s really my questions.
Philippe Marien: No, nothing for sale right now, that’s very clear.
Nicolas Didio: Thank you.
Operator: The next question is from Frederic Boulan from Bank of America Merrill Lynch. Please go ahead.
Frederic Boulan: Hi, good morning. Thanks for taking the question. I have two. Firstly, if we could – how you source around margin outlook in Bouygues Construction activities after the current trend you’re seeing in 2017? If we could have a bit of a perspective on where you think you can take the business in ’18, ’19 particularly in Bouygues Construction, but also Colas it would be interesting to hear your thoughts after a step down in the current year where we think what’s the phasing going forward? And then secondly, you’re in negotiation with the government, the whole industry is around better mobile coverage especially in 4G in rural areas. So if you could update us on where this is going, what would be the timing and the impact for Bouygues Telecom? Thank you.
Christian Lecoq: So, about your last question, the discussion with the government focuses on the following points. First, the precise you mentioning of the expected additional roll-out effort and accessibility of course both operational and economic. And the second point for us is the measures that the government could consider in order to create a more favorable investment climate and to motivate the cost that people pay to us linked to this new default. So discussion is in progress, I don’t know what they – when they will be finished and maybe before the end of this year, maybe not. And as the discussion are not finished, I have no idea about the impact for the future.
Philippe Marien: Regarding the evolution of the profitability and the margin in the construction businesses, we remain with the same idea we shared with you at the beginning of this year. So, definitely current operating profit in the construction businesses should continue to improve in 2018 and 2019 because of the nice backlog and nice general situation. So, we will continue to improve. It will not be massive and spectacular because it’s not like that in the construction businesses, but definitely we will continue to improve year after year and at least for 2018, 2019.
Frederic Boulan: Okay.
Philippe Marien: I think it will be true for the 3 businesses.
Frederic Boulan: Alright. Thank you very much.
Operator: The next question is from Nicolas Cote-Colisson from HSBC. Sir, please go ahead.
Nicolas Cote-Colisson: Thank you. Good morning. First question on the fixed broadband pricing, you mentioned in the past that pricing could go up when you have reached your critical mass. So I was wondering if you were considering the current size – the size in fixed broadband market you will reach by the end of this year as critical mass? And second question, I would like to have an update on Alstom, in particular the timing of the dividend to be received but also your view on Bouygues Group dividend as a consequence and your view on the medium-term strategy with your 14% residual stake in due course? Thank you.
Christian Lecoq: [Indiscernible] about the prices in the market, you may know that – consider that we want to achieve as fast as possible total number of subscribers around 4 million in the fixed and so we will continue to maintain price difference between us and our – and competition.
Nicolas Cote-Colisson: Okay.
Philippe Marien: Regarding your questions on Alstom, Nicolas, so that the dividend coming from Alstom will be totally linked – at least the 2, €4 per share will be linked to the merger or the deal between Siemens and Alstom. The first €4 will be paid at the closing date and the second €4 will be paid after the closing and if and when the put of the – when Alstom will receive the proceeds coming from the disposal of the energy JV with General Electric, so definitely some time at the end of 2018, something like that. Regarding our stake into Alstom, for the time being we have one commitment which is to stay in our current position. So, 28% of Alstom up to the General Assembly voting on the deal or at least – at the least end of July 2018 after that, we have no more commitment and for the time being we have no decision and no definite – definitive position on our stake 28% or the future 14%, we will see.
Nicolas Cote-Colisson: Okay, very clear. Thank you.
Operator: The next question is from Eric Lemarie from Bryan Garnier. Sir, please go ahead.
Eric Lemarie: Yes, hello. Two questions. First on property development, how would you explain that your market share is improving in the property development in France? Is it because of your footprint or is it because of I don’t know better prices for instance? And just on this Dijon project, this €105 million you mentioned, is it equivalent to the cumulated revenues generated by this project or is it something else? And could you remind us the percentage of stake – your stakes percentage in the consortium? Thank you.
Philippe Marien: I don’t know what you mean cumulatively. It’s the total amount of the contract for the 12 years and we don’t release the and communicate on the value share we have and the various partners. So, it’s consortium and we don’t explain the values part of each, but we are definitely the leader and the most important – and we have the most important those in the joint venture. Regarding Bouygues Immobilier, we have increased our market share because we are better than the competition. That usually is the real reason to increase your market share and definitely it’s not because we have decreased our selling price, it’s definitely the contrary and because the market is very booming. We are in the position to maintain and to increase our pricing and it is the reason why since the beginning of this year we increased our profitability. It’s because in 2016 and 2017, we are increasing the prices because of a very booming market.
Eric Lemarie: Alright. Thank you.
Operator: The next question is from Thomas Coudry from Bryan Garnier. Sir, please go ahead.
Thomas Coudry: Yes, good morning. One quick question please. You mentioned in the presentation the rental agreements in FTTH roll-outs in the public initiative network area. Can you confirm that you will actually be renting these premises meaning that it will impact the EBITDA with probably €15 to €20 per month impact per premises or if it will be CapEx? And then I have the second, the sort of same question regarding your agreements in medium dense areas. Will you be buying the premises as CapEx or renting them as OpEx in the EBITDA? Thank you very much.
Christian Lecoq: So regarding FTTH in the medium term – in the public initiative network, we have the possibility to rent the premises by tranches of 5%. We will see what we will do in the future. We have already said that for the medium dense area, we bought by tranches of 5% to Orange in the public initiative network. This is only the beginning of the roll-out so we have time to think about that.
Thomas Coudry: Okay. Thank you.
Operator: The next question is from Giovanni Montalti from UBS. Sir, please go ahead.
Giovanni Montalti: Hello, good morning. Thank you for taking my questions. Just a few follow-ups on the general outlook for the telecom market in France, can you share with us maybe some thoughts about current trading and about the where you expect promotional intensity, competitive dynamics to evolve both for fixed and mobile if you see any reason for any improvement or further deterioration? On the tower side, would you consider disposing further towers eventually to your current partners or I mean in any case to any prospective buyers next year and would you confirm a number of around 3,000, 4,000 towers – sites as the let’s say amount left and available for sale in your portfolio? And on going back to the question on your discussions – I mean the discussion of the industry with the government, the remarks you made was related just to mobile or also to fixed? When we talk about scale or roll-out and so on, I guess you are referring also to discussions with the government about the fixed if you can confirm on these? And finally on the construction – on Bouygues Construction for what relates to your – let’s say the remedies you’re implementing for the railway activity, would that imply any restructuring cost either at the end of this year or next year? Thank you.
Philippe Marien: Okay. I will answer on your last question. All the restructuring measures are not really restructuring measures. It’s more adaption, change of management, change in organization, disposal of some assets. So, definitely we will not have a significant negative impact in term of restructuring either in term of cost or in term of people, staff, redundancy plan and these type of things. It’s totally a different nature of measures more to reinforce the control and to reduce our freight activity in France by – through disposal of some assets. So, nothing material.
Christian Lecoq: So, regarding telecom questions, the first one was about trading and promotions in the market. So, it’s still just [indiscernible] in fact. So in the mobile market competition remains strong, but promotions are targeting – are targeted on the low end plans. And on high end offers, there are no promotions, we are able to provide best value for money and we were able in May to increase our prices. So mobile and the fixed, we are the price maker of the market and we want to reach a sufficient size that we estimate at around 4 million customers. About your second question was about towers so the price per tower is very easy to calculate because I think he gave as a total amount of €1 million on the...
Giovanni Montalti: No, no, sorry to interrupt, I was not referring to the price per tower, I was referring to your eventual availability to consider further disposals and I was referring if you – if it is correct to assume that’s the amount of sites – towers left in your portfolio is around 3,000, 4,000 towers. I was not referring to the price per tower. Thank you.
Christian Lecoq: So about sales of tower, we signed another agreement it’s a July 2017, an extension of the previous agreement and we are able to transfer 600 – up to 600 more towers to Cellnex in the next coming years. But for the time being, we already have to transfer the first towers so first 1,800 towers related to the first agreement we signed with them.
Philippe Marien: So, no other plan for the time being.
Christian Lecoq: So be clear.
Philippe Marien: And last question was about the discussion with the government. This is only about the mobile coverage.
Giovanni Montalti: So, there is no discussion with the government about let’s say plans of the industry for fiber roll-out that is [indiscernible]?
Christian Lecoq: No, no, no only for mobile.
Giovanni Montalti: Okay. Thank you. Thanks so much.
Operator: We have no other question.
Philippe Marien: Okay. So, thank you for joining us today. We will be announcing full-year 2017 sales and earnings on the 22 of February 2018. Should you have any question, please contact our Investor Relations team that you know very well. Thank you very much and have a good day. Bye.
Operator: Ladies and gentlemen, this concludes the 9 months 2017 results conference call. Thank you for your participation. You may now disconnect.